Operator: Good afternoon, welcome to ASE Fourth Quarter 2014 Earnings Conference and Conference Call. This is Joseph Su, General Manager of Investor Relations and your host today. Before we begin, I’d like to inform you that the format this time will be slightly different from our previous earnings conference. Today’s event is webcast live via ASE’s corporate website at www.aseglobal.com. As this conference is being viewed by investors around the world we will conduct this event in English only. If you are joining us through the conference call, your dial-in lines are in listen-only mode right now. During this event, we will first have ASEs Chief Operations Officer, Dr. Tien Wu, to summarize our business status and provide our key messages and our view on the industry trends, after which CFO Mr. Joseph Tung will present our fourth quarter and full year 2014 results followed by our outlook for the current quarter. After that, Dr. Tien and Mr. Joseph Tung will jointly host the Q&A session. During the Q&A session, please speak your questions in Chinese if you prepare and I will translate the questions into English. For those participants on the call, if you do not yet have a copy of the press release, you may download it from ASE’s website www.aseglobal.com. Please also down the summary slides in relations to today’s earnings conference presentation. As usual I would like to remind everybody that today’s discussion may forward-looking statements that are subject to significant risks and uncertainty which could cause actual results to differ materially from those contained in the forward-looking statements. Please refer to the Safe Harbor notice as it appears on our press release. I’ll now just welcome our Chief Operations Officer Dr. Dr. Tien Wu.
Tien Wu: Good afternoon. I would like to wish you a Happy Chinese New Year to begin with. Also I would like to express on behalf of ASE Group to all of you throughout the year 2014. 2014 to say the least has been a very interesting challenging year for ASE. It turns out that also became the best year ever for ASE group. I would like to give you a brief presentation about some of the highlights on the business for 2014 summary as what we can [Indiscernible] in 2015. To begin with I would like to show you the first chart. In this chart I have two messages. The first message is on the semiconductor revenue for the past ten years the CAGR was 4.6%. In 2014, worldwide semiconductor has grown 7.9% including Logic and Memory. If you are looking at the Logic only, 2014 the worldwide semiconductor has grown 4.9%. During the same timeframe ASE Group revenue has grown 8%, higher than the global semiconductor CAGR. In 2014, the ASE Group revenue collectively is down 14.3% also higher than the 7.9% or the 4.9% of Logic revenue. In the following chart I will give you the breakdown on the ASE Group on the IC ATM as what EMS 10 years CAGR. The number will be higher than 8.0% because of the double counting of some of the SiP revenue which is being accounted for on the EMS as what IC ATM side. On this chart, on the IC ATM throughout the same 10 year spend [ph] the IC ATM ASE the CAGR was 8.2%. In 2014, 9.3% which is higher than the 7.9% higher than the 4.9% semiconductor in the Logic space. During the same timeframe the EMS revenue the CAGR was 8.9%. In 2014 the EMS revenue fared 31.9%, so to say the least on the revenue side 2014 was a very good year for ASE Group. In the same time 10 year spend if you look at ASE Group net profits we have also shown a long term steady growth. On the ASE Group net margin we have noted the 2012, 2013, and 2014 for the last three years the ASE Group has grown revenue, net margins as well as the net margin percentage and an income. Many of you are concerned about the industry CapEx. So what we’ve done here is we basically summarize the CapEx spend for the back and the semiconductor from 1980 all the way to last year. As you can see that the packaging CapEx has steadily increased. The cost NT$7.3 billion came down during the financial crisis, went back up to the NT$7.3 billion. The purpose of this chart to show you that industry collectively has been quite disciplined in terms of managing the total packaging CapEx. If you look at the last few years, you look at the ASE as was our top four competitors we are spending more CapEx in our sales. The reason being the industry has consolidated therefore the CapEx requirement has to be shouldered, managed by the remaining field. In other words, even though ASE is spending more CapEx together with some of our competitor overall on the industry base the CapEx has been extremely difficult which also accounted for some of the ASP stability as was the supply and demand balance for the last few years. More specifically if you look at ASE over the last ten years, our CapEx as a percentage of the industry CapEx has migrated from 5.9% to about 11% to 12%. In other words, ASE is spending an increasing percentage of the industry packaging CapEx as a total. If you look at the ASE market share, in the backend [ph] space were about 21% to 22%. If you assume the industry do a outsourcing about 55% of global market share in the backend space if any were between 11% to 12%. In other words if ASEs CapEx accounted for the global backend around 12% we are right on the mark. That is another dimension to show you ASE has been extremely disciplined, we manage our own CapEx based around the industry dynamics, the customer requirement as well as own cash flow and the management rightly pointed out. The first is we continued a double digit growth in event packaging. In 2014, we came at 16% year-on-year growth; part of the growth is driven by SiP. The second highlight, the copper wirebond package still accounted for the largest unit in the backend in semiconductor. It is one area we should not forget how important it is. In the wirebond area, we are one of the few company if not the only one that continued to show wirebond 15% year-on-year revenue growth. We believe this trend will continue, we are migrating into automotive as for as the IDM just keep in mind the wirebond is a very good cash count. For ASE the investment has been made, the IP has been developed, we are nearly extending from the fabulous into the IDM the ASC has a very strong position comparing to our competitor. In the third highlight area, ASC has invested for a number of years what we call the building block of SiP including the Flip Chip Cu Pillar, Wafer Level Packaging, Fanout, 2.5 for the so called Silicon interposer and the Embedded technology. It is my wish; we think this year we will report to you on the good news how to bring this building block technology into a market place with customer and revenue. So those are the three highlights I would like to point out for 2014. So the best packaging I have pointed out already, 16% year-on-year growth, we believe the best packaging its growth momentum will continue well into 2015. In the copper wirebond I would like to highlight the IDM penetration. As you can see the IDM part of the wirebond revenue for ASE Group continued to improve year-on-year. The penetration rate with the IDM packaging is 37% today. We believe the number should be well above the number probably between 60% to 70%, but we do believe the wirebond has a long tail, has more momentum to go. The ASC is determined to be a big player in the copper wirebond. Finally, we’ve been talking about the joint force of EMS as for as our IC ATM. In the last few years we have launched a few SiP products on the IC ATM space. I’m happy to report that throughout all the – this year we will launch the first SiP product on the EMS space. Now only we will launch the first product meaningful product throughout 2015 we do expect we will continue to launch additional product in the SiP space. So the whole concept about SiP is, it is not semiconductor oriented only, it is not EMS oriented only, it takes a joint force between the design, the SiP technology, logistics and the business management we would like to show you some good news throughout 2015, only it is not EMS oriented only. It takes a joint force between the design, the SiP technology, logistics and the business management we will like to show you some good news throughout 2015. By the end of 2014, SiP product accounted for about 18% of our revenue base. We expected by the end of 2015 the Sip product will accounted for about 30% of our revenue. So again, 2015 would be another strong momentum year. Finally, I would like to show schematics. In 2015, we are likely to announce a few new products as was customer the concept is you take a typical printed circuit board that is well adopted in industry, with the optical sensor, and most of the wearable to IoT the sensor becomes a critical essential element in overall packaging. Our job is to combine the traditional printed circuit board as well as the multiple pipes and layers of sensor products into a very smaller scale of multi dimensional of SiP products. To do this you are going to have to have a multiple building block which ASE spends the last ten years developing it. For example, shielding the apartment shielding on the antenna design, on the integrated passive device, IPD on the embedded substrate for the power management and also the cross talk and the noise annihilation on the double-sided structure. I couldn’t see because my eyes – on the double sided structure, I apologize -- and also on the multi sensor integration as was as the other advanced technology such as interposer and the EPS. So the concept is showed is we believe ASC has a leadership in wirebond, I believe ASC is competing head to head with everybody in advanced technology. I believe ASC has a very unique position on the semiconductor as what EMS joint force sight a design, logistics the turnkey on the SiP product. Throughout 2015 and years beyond we would additional launch and announcements on products as for as customers. So just to give you a wrap up the outlook for 2015 we see a continued growth pattern, we see the market share gain and we do see the system integration becoming the new trend for the wearable and the IoT space. We will maintain CapEx discipline and operational efficiency to guard the revenue growth as well as the margin improvement and that has always been a focus on the Group. Leadership in advanced packaging and SiP we will continue to work with our key customers, as well as all of our IC and EMS customer continue to explore the SiP opportunities. With that, once again I would like to wish you Happy Chinese New Year. Thank you.
Joseph Tung: Okay, last time I speak only English for presentation it was 20 years ago, so bear with me. I’ll spend, its really unfair generally has about eight pages and I have 18 and I have only 50 minutes as well. So I’ll go very quickly to – go through the financial results for the fourth quarter last year as well as the full year numbers. Let’s start with the – the seating arrangement is also very awkward. I’ll start with the fourth quarter numbers. If I stand up, I can see. Anyway, so fourth quarter we had a very good quarter, actually in consolidated revenue growth of 15% to NT$76.6 billion and of which you know the assembly was relatively flat from last quarter but bear in mind that as a reminder the assembly revenue here does not include the SiP revenue that we produced because if that number was eliminated through the consolidations process. Test we had about 2% decline reaching about NT$6.7 billion and direct material sales also came down about 17% to reach about NT$861 billion. This is the result from a soft demand in the wirebonding which has a seasonal softness in the wirebonding segment of the business. The margin actually we had a very good margin performance in the quarter as well. As you can see the gross profit margin was pretty much flat at 21.4 since we guided that it will be slightly down on a gross level, it turned out it has a slight improvement. Part of the reason is because of the NT dollar depreciation which helped our 0.7% on the margin side. Because of the better operating leverage mostly through the SiP operation the improvement in operating margin level is actually greater than gross profit margin. It reached 12.8% in the quarter. And also in the quarter in terms of non-op we actually have a loss of NT$280 million comparing I’m sorry NT$267 million comparing to a gain of NT$504 million in the previous quarter. That difference is really resulted from the mark-to-market ECB mark-to-market losses that we have to recognize in the quarter which amounted to about NT$280 million. But in the previous quarter there was a gain of NT$640 million in the quarter and that resulted from non-operating turning from a gain in previous quarter to a loss this quarter. And as a result the net income at NT$7.8 billion although it has a 9% growth from previous quarter, so in terms of net margin as it came down from 10.8% to 10.2% this quarter. EPS for the quarter is NT$1.02 up 9% from previous quarter. Looking at a year-on-year comparison on the quarterly performance, you see our revenue grow 19% whereas packaging on a year-on-year basis grew 11%, test 7% and direct sales of material 15%, EMS grew 31%. With the extended operation I think the profit margin also improved at a gross level from 19.5% to 21.4%, operating level from 10.8% to 12.8%. Okay looking at the full year number, our consolidated revenue reached NT$250 billion up 17% from previous year. As we look at each business unit separately, packaging reached NT$121 billion up 8% from previous year and test which close to the NT$26 billion and direct sales of material about NT$3.5 billion. EMS close to NT$106 billion up 35% from previous year. Looking at the gross profit margin it grew from 19.5% to20.9% operating up to 11.5% for the year, which is a very good profit margin performance for us. Actually in but in terms of both revenue and profit margin I think we had a record year as Tien pointed out earlier on. For the net income this year we have a total net income of NT$23.6 billion up 50% from previous year and also in the EPS, basic EPS is NT$3.07 up 47% from previous year, so we had a very good year. Now look at the IC ATM separately. In the quarterly performance, in the fourth quarter our total revenue in IC ATM revenue grew by 4%. Here the packaging revenue does include the assembly test revenue, assembly revenue test review for the SiP business. And if we account that in on a sequential basis it was up 6%, testing a I mentioned is down 2% and rent material sales down 17%. Now the gross profit margin improved quite a bit from 28.6% to 31.3%. In terms of all the costs of goods sold items, all the items are have improvement. In terms of percentage of sales all came down, except for depreciation actually going up by 0.4% in the quarter because of the additional investment that we made in CapEx. Other than that in terms of raw material, in terms of labor, in terms of overhead they all came down as a percentage of revenue that resulted from a quite a bit of a improvement in the gross margin level. With also improved operating leverage, operating margin also improved from 17.4% to 20.3% in the quarter. Let’s move on to -- on a year-on-year basis, total revenue as ETM revenue grew 16% and actually packaging grew 18%, test 7% and direct material sales of 16%. And so if you look at the net income, it was about -- and mentioned that already. Okay, looking at full year IC ATM, the total revenue reached close to NT$160 billion up 11% from previous year. We see respective growth in terms of packaging 13%, test 5% and direct material about 20%. We did have a pretty good progress in terms of both on the SiP business as well as in the material business which had a 20% growth in the direct sales largely supplying to allow the DRAM manufacturers in the world. Okay, and in terms of margin, it improved from gross margin from 24.4% to 28% and operating from 13.3% to 16.6%. I think the margin improvement is largely coming from of course the better economy scale because of the expanded operation, and also on the product mix, favourable to product mix change. Okay, looking at packaging operation over the past four, eight quarters, you can see that this year we repeated the same for the lease movement pattern basically it’s a sequential growth on a quarterly basis pattern continued. Also, the profit margin actually gross profit margin actually reached its new high at 25%, 26% in the fourth quarter. And again the improvement in the gross profit margin is not only because of the cost of goods sold, cost items actually came down as a percentage of revenue aside from depreciation again. In terms of revenue breakdown you can see the advanced so called events so called advanced packaging revenue percentage as it came up quite a bit from 29% in the previous quarter I believe to 38% thanks to the full ramp up of our SiP operation, in fact the SiP revenue accounted for about 12% of our overall packaging revenue in the quarter. Our test operation in the quarter we had a slight decline about 2% and with that the gross profit margin also came down a little bit from 39.8% to 38.8%. Material operation actually as a whole, it has about 11% drop in the quarter. But in terms of direct sales to third party buyers, that percentage dropped by about 17%. And with that the gross profit margin also came down a little bit. Now coming back to the previous two slides, more additional information I would like to provide. In terms of packaging, actually what I want to mention is the utilization for the quarter. For wirebond it’s high 70s and for advanced packaging flip chip and also the SiP and bumping, we are running at full capacity of course to 85%. In terms of all the accounts, in the quarter we added about 20 – only 22 – 26 bonders testers and retired about 228, thank you, with a total count of 15, 792, that’s right and 86% of it 13 something
Tien Wu:
.:
Joseph Tung: Yes, for copper. And in terms of copper revenue, it accounted for about 66% of the total wirebond revenue, down from 68% a quarter ago because of the seasonal softness of the wirebonding business. In terms of CapEx for packaging, we had NT$65 million invested in packaging of which was NT$26 million for flip chip and bumping and the others for common equipment and also including SiP. Test, the utilization was at high 70 percentage as well. And in terms of CapEx we stand…
Tien Wu: NT$26 million.
Joseph Tung: NT$26 million for test. And in terms of tester count, this is really painful. We added 94 testers and retired 122, with a total test count at 3,267 units at the end of the quarter, okay.
Tien Wu: We'll move on now.
Joseph Tung: Okay. In terms of segment exposure, in fourth quarter you can see that communication really picked up from 53% to 58% of the overall, as a result of the full ramp up of our SiP operation. And this is at the expense of really the – both computer and consumer and automotive where you see the computer actually came – computing actually came down to 11% and consumer and automotive came down to – from 35% to 31%. I think going into quarter one this year, I think that percentage will change because we went to the down cycle for SiP, and therefore the communications, as such, the percentage will be smaller in quarter one. EMS operation we actually had a blow-out quarter in terms of revenue growth in quarter four last year. We actually had a sequential growth of around 39% to reach – revenue to reach $37b. The growth is really fueled by the SiP as well as the Wi-Fi module ramp up which together accounted for about 61% of the overall revenue in the quarter. And with that the margin, the gross profit margin came down from 8.6% to 7.9%. Although at the operating level EMS's operating margin is maintained at around 3.3% level, pretty much the same as previous quarter. So we do see a lot of operating leverage at the – integrating the SiP business as well. In terms of segment breakdown, again the same as SiP and you see the communication really came up a lot from 55% a quarter ago to 67%, which is pretty much the same pattern as we saw in the previous year where in the quarter four in 2013 that percentage was about 61% and this quarter it has grown further to 67% as we increase the SiP business that we have in this year. Okay. Looking at the balance sheet, our overall cash and cash equivalents plus financial assets, current assets as well, NT$58 billion, up NT$11 billion from previous quarter. In terms of interest-bearing debt, short term, long term put together, we have a total of about NT$99 billion, up from NT$94 billion a quarter ago. So, there's nothing to worry about because our cash actually increased by NT$11 billion, whereas debt only increased by NT$5 billion. With that I think the current ratio improved actually to 1.44. And net debt to equity also improved from 0.43 to 0.26. Also in the quarter, the quarterly EBITDA was NT$17 billion, up 8.6% from the previous quarter. So our balance sheet remains to be very healthy. Okay. Here is the CapEx for the quarter. Altogether we spent NT$148 million out of a total EBITDA of NT$563 million, so it remains to be cash flow positive. In the quarter, out of the NT$148 million, we have NT$65 million in assembly, NT$26 million in test, about NT$55 million in EMS and about this – very small number for interconnect or material. All in, I think the total CapEx for the year, last year is about NT$1.54 billion. The final number is a bit higher than what we indicated earlier on because we have a very late investment in preparation for the new SiP product that we're going to be launching this year on the EMS side. So the total number is a bit higher. Out of this NT$1 billion CapEx for the year, we have close to NT$600 – a little over NT$650 million invested in assembly. We have about NT$180 million invested in test, about NT$21 million in material and then NT$180 million – NT$185 million for EMS, including some SiP projects that we need to put in. I mean SiP projects, not sick projects you know. Okay, with that, I think that concluded the – my 15 minutes of financial results. And I'd like to give you some color about first quarter. Before that, actually I'd like to – but anyways, I also want to – because of – why is it that our cash increased that much, is because in the quarter USI Shanghai had a share offering, raised about – a little over NT2 billion or close to – over NT$300 million fundraising. So with that the – we successfully sustained the stock price of USI Shanghai. Right now USI Shanghai we still owns about 82%. And the total market cap of that company is about NT$6 – over NT$6 billion comparing to ASE as a whole it's a just a little bit over NT$10 billion today. Okay. So you see what I'm trying to say here. First quarter color, I think, in terms of IC ATM, if we assume the production capacity and the blended ASP remains the same as last quarter, the utilization of capacity will come down because of the seasonal factor. It's also because of the production cycle of our SiP business. The utilization will come down to – by about 10% to 15% in the quarter. As for the EMS business, I think the pace for our EMS Q1 sequential change should be very similar to what happened in the first quarter of last year. And with that, with the above two, our consolidated gross margin and operating margin should also be very similar to what we achieved in quarter one of last year. So that's the – pretty much give you some color of what we're expecting for quarter one. Thank you very much.
Tien Wu: Thank you.
Joseph Su: Now let's open the floor for questions. Wendy, please.
Operator: Thank you. [Operator Instructions] [Foreign Language]
Unidentified Analyst: The cost of potential new customers. Could you just give a framework for the type of projects, as we look over the next year or two for SiP, what you're working on? For the customer base, how concentrated do you think most will be with the major customer, or do you see much diversification through additional customers?
Tien Wu: Okay. The objective here is after years of preparation of a SiP building block, we landed a major customer and we launch the first major product back to 2012. In 2012, 2013, 2014, our odd way into 2015 we have seen the momentum of that SiP product. So the objective this year is to launch additional product not only with that customer but also with other customers, right. I will not be able to comment what type of product. What type of dollar framework? My promise to you is by the end of this year you will see a few. All right. It will be a good project.
Unidentified Analyst: Okay. For the capital spending, where you came a little bit above last year. If you could give a framework for this coming year total CapEx, and then where you pan to allocate that CapEx?
Joseph Tung: We’re not allowed to give a specific numbers because it had to go through Board approval first. But I think what I can share with you is, I think the total CapEx number will be a little less than what we had last year, but it won’t be that much difference, at least it will not be lower than the total of depreciation as we have last year which is over $800 million. I think for this year it will be very, very minimum for wire bounding capacity investments. I think if there is some mostly for further automation of that process. I think maybe two-thirds will be for assembly and mostly in the advanced strategy. I’m sorry, sales stay at 50% for assembly. Okay. And then we have 15% for test and then the remaining for material as well as for some SiP project as we come along.
Unidentified Analyst: Final question wanted to ask on the gross margin, first quarter guidance regarding back to first quarter 2014 level, but the base for fourth quarter this last year was at 2 points higher than what we did in fourth quarter of 2013. I’m just curious why you’re guiding -- –like it we compared what you just reported your 31%, but a year ago accident [ph] year you were about 27%, 28%. I’m curious why you’re guiding down to that similar levels in the first quarter if there is product mix or some other factor that causing a bigger decline from Q4 to Q1. Like why you’re not seeing that same improving margin trend carrying forward to first quarter?
Joseph Tung: You mean margin.
Unidentified Analyst: Yes, for the gross margin?
Joseph Tung: I think the – it’s really the part of exchanges. Therefore there will be impact on the margin itself. But I think as a whole we were pretty happy with what we achieve on the annual basis last year, both in terms gross and as operating margin. So although quarter to quarter there will be fluctuations depending on the different business composition, but as a whole I think the – we will strive to make what we have achieved in terms of margins at sustainable level for the year and in the future as well.
Operator: [Operator Instructions] 
Unidentified Analyst: Couple of questions here. And the first question is housekeeping one. Can you give some number value first quarter capacity in terms of the number, how many more a number of wirebonders you’re going to add testers to your flip chip bonding capacity?
Tien Wu: I don’t have the exact unit count. I think the overall CapEx first quarter, I just mentioned broadly on the EMS level there’s also – I think for this year it will be very similar to last year’s overall business would have a fairly healthy movement starting from – actually late, very late first quarter and second quarter will have pretty good jump in terms of overall revenue. I think in terms of utilization of course we, first of all, the utilization in first quarter will be lower than in the quarter four. In terms of assembly I think it will around mid 70s, whereas the blended -- on the blended levels [indiscernible] level.
Unidentified Analyst: Okay. My second question, I think you provide the first quarter margin on consolidated basis, can you break it down little bit like how much are you guys suspect for ATM and how much for EMS roughly?
Joseph Tung: Well, I think the EMS will be – there will be some start as well in terms at the growth level. We’re trying to maintain its operating levels for the quarter. So we have our 7.9% investment assets [indiscernible] lower EMS.
Unidentified Analyst -: Fair enough. It’s a bit longer for your 2015 outlook. You talked about CapEx. Can you share with us what about your revenue outlook? I know, CEO mentioned about continue market share gain, but I assume your revenue growth, this should be above industry average. Can you share we us your view on that?
Tien Wu: I don’t think we’re allowed to give specific number, but we will outperform the market. Right now the market outlook is 5%, 5% typically means that they don’t know. But if I want to go back to the 2011, 2012, 2013, 2014, we’ve always been getting 5% every single time. So this year, I think everybody is guessing 5%. I think Andrew probably have a better guess. I think he doesn’t know either. So with that I think the – our market share will gain will gain and will continue to maintain a strong rebound in Q2 followed by sequential growth quarter-on-quarter which my CFO warn me not to say that, but I feel pretty confident. We should see quarter-on-quarter growth. With that, you can just work out number.
Unidentified Analyst: Yes. When you mentioned 5% growth you’d mean a Global Semi this year, it’s not offset by and [indiscernible] Global Semi. What about OSAT? Any idea about that sector growth?
Tien Wu: Okay. The OSAT [ph] is little bit confusing now because there’s a lot of consolidation, also because how aggressive some of the Chinese operators are. I think in China the OSAT growth tends to be much higher than the normalcy. So I won’t be able to comment what’s going to happen in 2015. It’s very, very dynamic, right. But if you look at the Global Semiconductor performed by 5% with all of the margin management, the product mix, the SiP differentiation and we’re trying to do the CapEx discipline as much as we could within our space. We hope to manage a revenue growth together with margin sustainability. That is really the main focus for the next – for this year.
Unidentified Analyst: Okay. Thank you. One last question, Tung, little bit about cash dividend policy this year?
Joseph Tung: Well, this is of course the Board’s decision. But as a reference last year we had 65% pay off ratio all in cash as a reference.
Joseph Tung: So its going to be a little maintained or higher
Tien Wu: It’s up to the board. But I’m just giving you a largest number as a reference.
Unidentified Analyst: Thank you so much.
Joseph Su: Thank you. Sorry, but when you have your question. When you speak you question please also speak your name and company. Thank you. And our next question will be from Mr. Szeho from BNP online.
Szeho Ng: Hi. Good evening, gentlemen. Couple of questions. First one, what’s the Copper Wire Bounding revenue in Q4 and as a percentage of the Wire Bounding revenue?
Tien Wu: The percentage of the Copper Wire Bounding revenue as a percentage to total Wire Bounding revenue is about 66%, down from 68% a quarter ago.
Szeho Ng: And what’s the absolute dollar amount?
Tien Wu: Dollar amount is 415.
Szeho Ng: Right. And also we forgot to your CapEx this year, you mention will be similar to the depreciation run rate, that’s what you said earlier?
Tien Wu: I’m sorry, can you repeat that?
Szeho Ng: Yes. For the CapEx this year are you guiding to this similar to the depreciation run rate?
Tien Wu: We said, will be greater than the depreciation now.
Szeho Ng: Okay. All right.
Tien Wu: It’s all right. Great.
Szeho Ng: And last one, how should we model tax pay this year, is it going to be around 15% or half [ph]?
Joseph Tung: Model-building purpose I think for this year we are modeling at 17.5%.
Szeho Ng: Okay. All right. And last, sorry, so you did a very good job for backend gross margin Q4, should we expect more to come sometimes in maybe later part of this year?
Joseph Tung: We certainly hope so, and as I mentioned earlier on we were pretty happy with what we achieve last year and hopefully on the annual basis both growth and operating margin that we actually had a record year and we will improve much so once you keep it at the sustainable level and use it. Of course from the operation point of view I always look at Tien and say, if there is any further improvement that we can get and he’s nodding?
Szeho Ng: So we should had a third Q1 some 3% gross margin to be [indiscernible] how we should expect that given that a number maybe towards end of the year?
Tien Wu: Well, we’re certainly hopeful.
Szeho Ng: Okay. All right. Good job. Congratulations. 
Tien Wu: Thank you.
Joseph Su: Thank you, Szeho. And our next question will be from Mr. Dan Heyler from BOA/Merrill Lynch. Dan, please speak your question.
Dan Heyler: Thanks, John. Hello, I’m Joseph and Tien, appreciate the question. Sorry, that I couldn’t make the conference live this quarter. So, couple of quick questions. So as you look at the interestingly the ATM margin, do you think that you can sustain kind of those margin levels that you achieved in 2014 and 2015?
Joseph Tung: This is Joseph Tung from ASX.
Dan Heyler: Yes.
Joseph Tung: Of course, this is something we like to see, but as I mentioned on a quarterly basis there would be – there also always be some fluctuations and depending on different business conditions or operational conditions, so yes well try out best to keep up margin whether we achieved at a sustainable level, but we’ll do our best.
Dan Heyler: Okay. Because I see kind of some puts and takes, the SiP project last year was margin accretive for ATM. I guess you’re building out some capacity for the new product. Is that one of the factor that maybe a little bit of drag in the first half of the year and so you’d see the margin pickup there? And what run rate I guess for your new project, do you become margin accretive?
Joseph Tung: Yes. I think for SiP you can spread across a very wide spectrum of different devices or products. Some may have more or higher IC ATM content, some may have more or higher SMT or EMS levels content. Depending on the product the new products that we or new projects that we’re taking it now it’s more toward the EMS side of it and therefore it would be more similar to the EMS side.
Dan Heyler: Okay. But if the existing product grows in size perhaps that offset that drag, so okay. And then….
Joseph Tung: But I think the real issue here is really whether that’s return accretive or not, and based on what we have the SiP remains to be a lucrative from a return standpoint for us.
Dan Heyler: Got you. Okay. And then, on the revenue side one thing that’s been coming in as you commented on the second quarter rebound. In the third levels its running a little to the high side across semis and fables as they come in, yet the seasonality has been a little bit more moderate this time. So should we think that the second quarter rebound maybe more moderate than say last year, because inventory levels are running bit on the high side already. So therefore second quarter semiconductor that is the rebound maybe a bit more muted? Just I wanted know what’s your feeling as of the second quarter? What’s your visibility there is …?
Joseph Tung: I guess, all we can say, it’s going to be very healthy jump in the second quarter without being that specific.
Dan Heyler: Okay. Maybe you could in terms of kind of end markets should we assume some of that mobile area that’s coming back, could you just give some thoughts there on end market?
Tien Wu: No. I think, it’s really across the board with more so on the consumer side.
Dan Heyler: Got it. Okay. And finally on the CapEx side, so I just wanted to clarify some comment you made earlier. Did you said that you thought that CapEx maybe flat, you need Board approval, and did you say 50% would be ATM of that and I’m wondering and what was it last year, because that’s a big drop I think from last year for ATM now?
Joseph Tung: 50% for assembly than another 15% for test.
Dan Heyler: IC.
Joseph Tung: So IC you have about 65%?
Dan Heyler: Okay. That’s down from last year.
Joseph Tung: Yeah.
Dan Heyler: Okay. That’s it from me. Thank you very much.
Joseph Tung: Thank you.
Tien Wu: Thank you, Dan. Eric, please.
Eric Chen: Eric Chen from UBS. Dr. Tien Wu and also Joseph [indiscernible] and good afternoon. First, congratulations for you numbers, right. And my first question regarding to the EMS side of business and my understanding USI Shanghai, its EMS business for the specific comp, the revenue [indiscernible] this year, so Tien, I mean, can you get the roughly idea and because of their strong EMS business and what kind of revenue helpful in the broad business revenue. So what kind of revenue we can give expectation for the whole the year EMS revenue growth?
Tien Wu: I don’t think we’re in a position to give you a number for that.
Eric Chen: Okay. Let me finish. Based on the USI Shanghai and their expectation more line to all EMS revenue just the growth pattern just like a last year, does that make sense?
Joseph Tung: I think it will be color.
Eric Chen: It will be similar, all right, in terms of EMS revenue growth this years, okay. And how about operating margin? We have very good operation margin last year and with the EMS revenue percentage increase quite a significant in terms of revenue portion, so what kind of operating margin which you are looking for the year on year base?
Joseph Tung: As I mentioned we will do our best to whatever we achieve at a sustainable level, at a sustainable level.
Eric Chen: Okay. I will remember just you mentioned before more like this year versus last year, our operating margins either flat or slightly up. Is that true or…
Joseph Tung: I'm sorry, again?
Eric Chen: I mean, the operating margin versus last year, more like the year-on-year flat or slightly up? Will that be the case either way?
Joseph Tung: I can't say that.
Eric Chen: Okay, you cannot say that. Okay.
Joseph Tung: I am not saying that.
Eric Chen: Okay, you're not saying that. Okay, but that’s a – that pretty makes sense, right, from an analyst's point of view to give a right kind of forecast as year-on-year flat or…
Joseph Tung: I can't comment on that either.
Eric Chen: Okay. There is one argument now; operating margin probably will decline from the second half this year. Does that make sense from your point of view because of EMS revenue growth? And probably even lower than last year level.
Joseph Tung: Well, as I mentioned, depending on the composition of your business, and also, I think depending on the stages of that particular business in the given quarter, there could be fluctuations on the margin. I think the end goal is really to sustain at whatever we achieved last year on an annual basis. And I won't be able to comment on quarterly.
Eric Chen: That is the bottom line, right.
Joseph Tung: That's the goal.
Eric Chen: And the last question regarding to your business in China, could you give us an idea how many revenue percentages from our China customers and in Q4 last year, Q1 this year, and how about the whole year? What kind of number would you keep in mind?
Joseph Tung: For IC assembly and test, the revenue from our China operation right now is about 12%.
Eric Chen: Okay, how about from China clients?
Joseph Tung: China clients?
Eric Chen: Yes.
Joseph Tung: For the IC assembly and test business, about only 2% of the revenue is coming from the Chinese customers.
Eric Chen: 2%.
Joseph Tung: Yes.
Eric Chen: Okay. I see. I see. How about for the whole year roughly?
Joseph Tung: Roughly.
Eric Chen: I mean the China operation and the...
Joseph Tung: Yes, hopefully, it would be more than…
Eric Chen: Okay, do you have any idea, I mean, regarding to the chips shipped to China, in chips shipped to China probably for the Taiwan handset smartphone IC maker, their business, their product shipped to China, do you have the idea of the revenue percentage-wise?
Tien Wu: I don't think we have this information. We can track part number, but even if we track part number, I'm not sure we can release those information.
Eric Chen: Okay, all right. Okay, thank you.
Joseph Tung: Thank you. [Foreign Language]
Unidentified Analyst: The first one for this year, assuming the revenue growth will be higher than 5%, which business do you think will grow faster than this number? Which of your business will grow slower than this number?
Joseph Tung: Look I think the overall business behind that number…
Eric Chen: Just say – I think I'm asking you 5% is the low bar right? Assuming your growth rate is something like an 8% or 10%, which one is higher so – higher than 10%; which number is lower than 10%?
Joseph Tung: I think you already know the answer, I think the communication, the automotive, will be above the bar. The…
Eric Chen: How about the SiP and the backend pack at the ATM?
Tien Wu: Right, the SiP, the majority of the SiP will be in the communication space and the SiP per se, the percentage will be much higher. I already talked about it, by Q4 last year, the SiP account for about 18% and then by Q4 this year, hopefully, will be approaching 30%.
Eric Chen: Can we have a rough number on a year-over-year basis? For example, full year last year, SiP account for what percentage of revenue, full year for this year, what's your roughly in mind?
Joseph Tung: For the year of 2014, SiP accounts for 11% of their consolidated revenue.
Eric Chen: What is the range for this year?
Joseph Tung: For this year, it is – it should be maybe 20% or higher.
Tien Wu: Double.
Eric Chen: So assuming all other business remaining flattish, your revenue will grow 9% because of SiP.
Joseph Tung: That is very good.
Tien Wu: He can say that, I'm not allowed to say that.
Eric Chen: So if your growth is below 9% that means some other business is declining.
Tien Wu: That is correct.
Joseph Tung: That is very sound math.
Eric Chen: Thank you. The second question I have is depreciation cost, what number we should model in for this year and Q1 for full year?
Joseph Tung: For the whole year this year, we have 200 – I'm sorry, 25 for the year of 2014…
Eric Chen: 2015.
Joseph Tung: 2015?
Eric Chen: Yes.
Joseph Tung: I think the deprecation cost should grow at maybe low teen percentage.
Eric Chen: Low teen percentage point.
Joseph Tung: Yes.
Eric Chen: So what about Q1?
Joseph Tung: Q1 should increase by low single digit.
Eric Chen: Q-over-Q basis?
Joseph Tung: Yes.
Eric Chen: Thank you. Another one is regarding the guidance, is that all the guidance number you provide on the Y4 [ph] including the foreign exchange adjustment? Are these included? OP margin or whatever? The blended ASP?
Joseph Tung: The what?
Eric Chen: The blended ASP? Is it US dollar basis or NT dollar basis?
Joseph Tung: The ASP?
Eric Chen: Yes.
Joseph Tung: Yes.
Eric Chen: Yes, NT dollar basis or US dollar basis?
Joseph Tung: NT dollar basis.
Eric Chen: Thank you. The last two questions are fanout, what's your view on the fanout? Where do you see the completion from TSMC from this angle, do you see fanout will be an important revenue for backend guys as well?
Tien Wu: The fanout right now is a small percentage of the backend even from the bumping of advanced technology perspective. We do see that as device technology moving forward fanout will be important for a specific class of clientele. And it is our objective to develop the fanout to meet the transition and the requirement from the customers and then we never view TSMC to be a backend competitor, we would like to view TSMC as our customer as well as the technology and business collaborator. So from that perspective, I believe the ecosystem will decide whose technology will prevail and what is the pricing model and the – how do we manage the multiple sourcing requirements for the fanout. As of today, fanout is a very small percentage of what we do but we do have a plan in terms of making the capital investment. In other words, fanout is part of the technology and product offer road map on the ASE side.
Eric Chen: So are we expecting more investment next year?
Tien Wu: You can expect – we have committed to the investment, we will start the – actually, already started. And you will see additional investment in fanout this year, not next year.
Eric Chen: The last one is regarding JCET STATS ChipPAC merger, what is your take on that?
Tien Wu: Okay, so on the short term, we have a few customers moving loading from the STATS ChipPAC or the JCET combo to ASE. The -- I do not want to show over-enthusiasm on a few specific customers because of the uncertainties are concerned. However, what I'm trying to say is on the short-term basis, I do believe that the – it is a – it will be some incremental plus for the ASE, we are likely to get additional loading. On a mid to long-term, I believe the competitive landscape may be a little bit more fierce full, however, since day one, the semiconductor has always been competitive. I think there is – any era semiconductor was not competitive, so I think the market just have to carve it out.
Eric Chen: [Foreign Language]
Joseph Su: So the question is about fanout, is fanout going to be a factor for your customers to consider shifting the orders from our competitors to ASE?
Tien Wu: I think different customers have different concerns and I think fanout really depends on the customer which IP space they are located and also the overall – the reliability requirements and each customer will make a different decision. But when I talk about the specific customer moving from STATS ChipPAC to ASE, fanout was not part of the consideration. At least in this round. In the future, it is hard to tell. But what I'm trying to say is there will be customers, moving from ASE to JCET and there will be customers moving from JCET combo to ASE. However, for the last 30 years that is semiconductor, customers go, customers come back, depending on the value and the differentiation. I also want to comment on the EMS, the SiP and the IC ATM product mix. I think that it's very, very difficult to model what the mature content on the SiP, especially when we are trying to ramp up SiP on the EMS side. So I think what we should look at is really the return in addition to the margin but what is important is do we have a differentiated offering to the marketplace that the market likes? If they like, how does that contribute to the return of investment as with net income? Margin becomes a very classical measurement when you have a steady state, you understand the cost model, you understand the depreciation, you understand the margin structure. I think we are entering to a new era where on the IC assembly and test side, we understand how to manage this, and when we start enabling the SiP on the EMS side, the margin becomes one of the metrics we look at. But the most important thing we look at differentiation as well as how they contribute to the return of investment on the ASE side. The margin will not be the most critical concern.
Eric Chen: When you guide a 20% revenue ramp on SiP, do you or compare to last year of 9%, what kind of wearable devices volume shipment on the watches side are you focusing your model?
Tien Wu: You know, I cannot answer that question.
Eric Chen: No, I am talking about the broader customer, not just one customer.
Tien Wu: I will not comment.
Eric Chen: Thank you.
Operator: We've got only three minutes left. Our next question will be from our guest, Jean-Louis on the line. Jean-Louis, please speak your question.
Jean-Louis Lafayeedney: Thank you. This is Jean-Louis from Societe Generale Ji Asia. Hi, just one question from me. I will make it quick; it's more of a broader question. Basically, with what we have seen in China in terms of the backend space over the past couple of years and in particular, 2014 and including, of course JCET and STATS and presuming quite aggressive CapEx for the next years, how has that shaped your own strategy for 2015 when you are looking at CapEx and also the type of product that you want to go into? Has everything that you've seen in China and what you believe will happen in China had some bearing and impact on your strategy going forward in terms of your product allocation and perhaps the type of technology that you are perhaps, more emphasizing, for example, looking more at advanced such as flip chip PSP or fanout, etc? Thank you.
Tien Wu: I think the best way to answer this question is to use number. If you look at the backend investment, every year, we roughly between NT$5 billion to NT$7.3 billion we are already past the number. That number was established by a very competitive collective body of semiconductor backend with a given efficiency, that all the competitor worked out. So when the JCET and the China Big Sun [ph] moved in, the central government announced that it will put NT$20 billion over 10 years so I would assume is about NT$2 bill a year. The local number varies from 0 to NT$4 billion per year. Assuming you have central plus local of NT$6 billion fund in China, I believe that will be the worst case. Then you have to talk about the NT$6 billion distribution, how much dollar allocated for merger acquisition, how much dollar allocated for foundry, and how much dollar allocated for the back end. So in my assessment, the big fund allocation to the backend capacity will be no more than NT$1 billion per year. Now if we believe that assessment is correct, NT$1 billion over NT$7.3 billion is still a substantial number; therefore, we do understand when the Chinese believe to pool in NT$1 billion of selective funding in the backend, if that happens, how the industry collectively will react and respond. I believe NT$7.3 billion of total required backend CapEx with the introduction of a NT$1 billion big fund, from mainland China, that can be managed. I am assuming the same level of efficiency. However, if you will look at the China central government and the local government, how the funding will be managed with the enterprise, you will have multiple bodies to make decisions and one of the things that ASE as well as Taiwan Semiconductors strive the best is the speed of decision and the way we execute. Therefore, we are counting on dollar with less efficiency competing with a collect body managed by the global semiconductor. It is a very long answer to a short question. However, I do believe we need to put all the parameter into the landscape. In 2015, I do not believe that we will see any major -- I believe the real effect will only surface three years down the road, probably in 2017, 2018 time frame, we will start seeing the local imbalance of capacity of supply and demand. That is my view.
Jean-Louis Lafayeedney: Thank you. So just to confirm then, no major change to your CapEx for this year and your allocation thereof because of what you see in China? Not yet then?
Tien Wu: Okay. So let me rephrase the comment, all right. What Joseph has said there is the – our CapEx will likely to be less than last year. We will manage the business dynamics as well as the allocation to different business units. For example, if there is a wirebond requirement which we don't see, if there is a stronger copper wirebond requirement, there will be copper wirebond CapEx, if the SiP in any, kind of product on the EMS side or on the IC ATM side show a strong demand, we will allocate the CapEx. The CapEx is not the issue, the issue is your CapEx discipline, how does that translate to operational efficiency in your net income? As long as that efficiency translation is there, the more CapEx is spent, the better it is for the business. And I want to make sure people understand the strategy of the ASE Group. Now in this campaign, the China becomes an essential element of the ASE Group because a majority of the USI revenue in SiP are already executed in China. The NT$6 billion market cap on USI in China is listed in Shanghai stock exchange. China is an essential element of the ASE campaign strategy.
Joseph Su: So, Jean-Louis?